Operator: Thank you for standing by, and welcome to the AMA Group HY '26 Results Briefing. [Operator Instructions] I would now like to hand the conference over to Ray Smith-Roberts, Group Managing Director. Please go ahead.
Raymond Smith-Roberts: Good morning, everyone. Thank you for taking the time to join us for the presentation of the AMA Group FY '26 half year results. For those of you joining us via webcast, you should be able to view the presentation on your screen. If you're joining us via teleconference, you should have access to it via our investor presentation on the ASX platform or our company website. I'll begin today's presentation with a business update along with details of our portfolio and our business results. I will then hand over to our group CFO, Dom Romanelli, who will take you through the group financials. I'll then return a bit later to cover outlook. We'll be taking questions throughout the webcast facility today. You can submit these at any time during the presentation, and we will address them at the end. So if we get underway, let's begin on Slide 4, a bit about 1 half '26 overview. I'm pleased to report that AMA Group produced the first half result for FY '26 of pre-AASB 16 normalized EBITDA of $30.5 million. That's up almost 22% on the first half of FY '25 and continues our positive profit growth trajectory. In conjunction with our profit growth, our operating cash flow also improved by 16.2% for the corresponding reporting period. This solid results we have delivered for the first half is headlined by continued strong performance in the Capital SMART network, considerable improvement in the financial performance of our AMA Collision network and ACM Parts contributing a positive EBITDA to the group for the first time. We are a people business and have continued to focus on upskilling, growing and retaining our team always in a safe manner. Our LTIFR of 3.1 as at the 31st of December 2025 is down from 4.2 in the corresponding period. We've increased our team by 37 members and maintained our voluntary turnover at very good rates. So if we look at the headline of our businesses, Capital SMART achieved EBITDA of $24 million for 1 half '26, which is down from the $25.8 million in 1 half '25, but that is in line with our expectations. AMA Collision continued on its good progress in this optimization and capability improvement program with an $8.1 million EBITDA improvement in the first half of FY '26 compared to the first half of FY '25. With continuing focus in our disciplined approach, there is significant opportunity for further improvement to continue to drive improved financial performance. Wales performance was impacted by softer work provisions of large crash repair work and improved financial performance is expected in the second half of FY '26. The Specialist Businesses has seen significant improvement in financial performance in particular, within inside our Prestige network. In relation to ACM Parts, it continues to improve its financial performance as it implements continued operating improvement actions. Overall, group revenue of $524.1 million increased $29.6 million on the first half of FY '25. That's a 6% increase, with revenue from our core vehicle collision repair businesses, increasing 6.6% to $503.5 million. Normalized half 1 FY '26 pre-AASB 16 EBITDA of $30.5 million. This is up $5.5 million or 21.9% in the first half of FY '25. And our EBITDA margin has increased from 5% up to 5.8% in the first half of FY '26. Operating cash flow after the payment of lease costs was a positive $12.2 million, an improvement of $1.7 million or 16.2% on the first half of FY '25. Underlying financial performance, improvement in key strategic growth is expected to continue into the remainder of this year and beyond, and we'll cover that in more detail further later in outlook. Now if we move on to the specific slides on each business. Slide 5, Capital SMART. In the first half of FY '26, Capital SMART was in line with expectations. Capital SMART continues to deliver improved customer outcomes in conjunction with our key customers, Suncorp. Despite moderately lower volumes, particularly in Victoria, revenue increased as a result of higher severity and complexity of repairs. As previously indicated, 1 half '25 and second half '25 both included incentives, which have not been nor were they expected to be replicated in FY '26. This has impacted the EBITDA margin slightly, reducing it as expected. Continued cost control measures and productivity initiatives will preserve margins going forward. 3 new sites were opened in the first half of FY '26, one in South Australia, one in Newcastle in New South Wales and one in Tasmania. These are all locations where opportunity is strong and where our network is underrepresented. These will deliver incremental EBITDA as they ramp up in operations. We did close 1 site in New Zealand during the first half of this period. We have 2 further site expansions planned for this calendar year, one in Sydney and one in Adelaide, and hopefully, they'll both be up and running before the end of the calendar year, as I said. Overall, revenue increased $7.8 million to $245.9 million, an increase of 3.3% on the corresponding period. Normalized half 1 '26 pre-AASB 16 EBITDA of $24 million is down $1.8 million in the first half of '25. Capital SMART will pursue further optimization and growth. We're focusing on optimizing operations through in-sourcing, timely repairs and utilizing technology. We will continue to develop the workforce by attracting and training and mentoring high-performing people. And we will continue to invest in the nationwide network in both refurbishment of existing sites and new sites where key opportunity locations are aligned to our customer needs. And we'll continue to evolve and enhance our customer experience and convenience. If we move on to the Collision business, turning to Slide 6. The transformational change program within AMA Collision business continues with significantly improved financial performance as mentioned. Revenues increased $18.4 million to $194.1 million, an increase of 10.5%. And normalized EBITDA for 1 half '26 pre-AASB 16 of $6.1 million is up $8.1 million from 1 half FY '25. The operational optimization and key capability focus within the business continues to achieve results. This disciplined focus will continue for the remainder of this year and into next year with further upside from existing operations will be derived. Key insurance customer relationships continue to improve and strengthen. The business will continue to focus on network optimization, including investment in vehicle repair capacity, team capability and customer experience. This will include site rationalizations and site expansions where appropriate. In addition, we will seek strategic growth where opportunity capability and capacity are aligned. Overall, a very pleasing result in Collision. We turn to Slide 7 and the Wales heavy vehicle division. Wales heavy vehicle business was impacted by some softer work provisions in this last half. In the half 1 '26, it delivered a normalized pre-AASB 16 EBITDA of $3.8 million, down $1.6 million from 1 half FY '25. There has been a shift in work mix during this period with reduced claim volume and large-scale repairs being lower, impacting growth in some states. This is expected to persist in the short term but more large-scale repairs are expected to normalize over the next 12 months. Wales is well placed to take on more volume with capacity available as the volume returns with additional opportunities being explored with insurers, government, corporate and private fleet operators and insurance brokers. The business continues to strengthen its relationship with both market-leading insurers and smaller insurers and fleets who are seeking preferred repairs as well as continue to expand its service offering with different types of repairs, including machinery, motor homes and specialist equipment. We turn now to Slide 8, our Specialist division. AMA Prestige sites revenue and EBITDA were well ahead of the prior corresponding period. Its financial performance was improved on the back of improved productivity following a range of initiatives being implemented. The business will continue to focus on enhancing capability and strengthening key OEM and insurance relationships. The TechRight business volumes have increased in 1 half '26 compared to the prior corresponding period, which has led to improved financial performance. Development plans continue where appropriate. Our TrackRight Mechanical division, the financial performance was also ahead of last year and the prior corresponding period. Work on optimizing these sites in Queensland and Western Australia continues. If we move to Slide 9, ACM Parts. The ACM Parts business continues to improve with positive pre-AASB 16 normalized EBITDA of $0.7 million, up $1.4 million to the corresponding period. There was a strong uplift in financial performance as key initiatives relating to the reclaim and genuine parts businesses, and growth in the consumables business have yielded positive results. Network optimization or our warehouse capacity remains a key focus with a planned relocation of a site to a more fit-for-purpose facility currently underway. The business has seen a strong uplift in external revenues. This is attributed to a strong focus on operational quality and service performance along with a competitive offering given from improved sourcing. Procurement continues to be one of the business' biggest opportunities. With the business now self-sustaining and continuing to improve its performance through these operational efficiencies, we will continue to focus on the outcomes we can control and maximize value for our company. I will now hand you over to Dom to take you through the group financials.
Domenic Romanelli: Thanks, Ray, and good morning, everyone. Slide 11 is a summary of the first half FY '26 financial performance. The financial performance is presented on a post-AASB 16 basis below EBITDA. However, we have included supplementary analysis on Slide 19, which provides a comparison of first half FY '26 results on a pre- and post-AASB 16 basis. As Ray has outlined, our first half FY '26 financial performance was a continued improvement on the first half of FY '25 with revenues up $29.6 million or 6% to $524.1 million and normalized pre-AASB EBITDA of $30.5 million, up $5.5 million, 22% up on the first half of FY '25. This reflected an EBITDA margin improvement from 5.0% to 5.8% for the first half of FY '26. If we look at purely at our core vehicle collision repair businesses, our EBITDA percentage margin grew from 5.4% to 5.9%. This uplift was largely driven by the continued operational performance of our AMA Collision, Specialist and ACM Parts businesses. Finance costs in total were down $1.5 million for the first half of FY '26 when compared to the corresponding first half period. Pleasingly, finance cost other reduced by $3.7 million for the first half year due to an improved cost of funding and debt levels following the refinancing of the group's senior debt in February 2025. This benefit was partially offset by an increase of $2.2 million in the finance cost of our leases, reflecting the increase in market rents and interest rates. Consistent with FY '25, there is no dividend declared for the first half of the '26 financial year and the increase in income tax expense reflects the uplift in earnings, particularly within the Capital SMART tax group, the nondeductible nature of our P&L expense relating to our executive share plan and prior period under provision adjustments that have been corrected. The normalizations we have called out for the first half of FY '26 relates to planned site closures within AMA Collision, which represents $0.8 million and the planned ACM warehouse relocation of $0.6 million. The normalization in the corresponding period of $3.5 million related to a legal settlement claim relating to an earn-out of an acquisition that took place in 2018. Turning to Slide 12 and the summary financial position. We ended the first half to 31 December 2025 with net debt of $20.7 million, a slight increase from the 30 June '25 balance of $17.7 million. Our balance sheet remains strong and provides the organization the capability to execute its capital expenditure program. The group continues to meet all its financial covenants and expects to operate within them for the next 12 months, and we also completed a 1 for 10 share consolidation during this period. Now to Slide 13. The group had positive operating cash flows of $12.2 million for the first half of FY '26 once the principal elements of lease payments are taken into account, which was an improvement of $1.7 million or 16.2% on the corresponding half year period. This was driven by the group's stronger EBITDA, continued improved cash management albeit we are now starting to pay income taxes, which we will continue to increase in the second half of the financial year and $2.5 million reduction in interest paid due to our improved cost of funding. The first half of the financial year saw capital expenditure payments of $15.3 million, an increase of $5.6 million on the corresponding half year period. This was primarily due to investment in greenfield sites and investment in replacement equipment and site expansions. The group has a healthy cash position at 31 December 2025. Turning to Slide 14. Normalized corporate costs were $2.2 million higher than in the corresponding half year period. This was predominantly due to a higher expense of $2 million relating to our executive share plan in this half year period compared to the corresponding half year period. This expense is of a noncash nature and is only deductible for income tax purposes if the shares ultimately vest. The normalization noted in the slide for the last year's half year period related to the legal settlement claim over the earn-out calculated on a 2018 acquisition. In addition, Slides 18 to 21 provide additional financial information that will assist with your analysis. I'll now hand back to Ray.
Raymond Smith-Roberts: Thank you, Dom. If we now turn to Slide 16 and the outlook. AMA Group continues to progress on its journey to achieving a pre-AASB 16 EBITDA percentage of 10% within our core collision vehicle repair businesses. We've set a target of doing that in the next 3 to 4 years as a maximum, but I'm confident of doing it sooner. Capital SMART is expecting another strong result albeit slightly lower than FY '25. There will be some rationalization within the existing network, partially offset by a key focus on specialized and value-add activities and on further developing high-performing, highly capable teams. As mentioned earlier, we have opened 3 sites so far this financial year, where the network was underrepresented. The plan continues to be growth where demand and opportunity aligned with our key partners. AMA Collision continues through the transformational change program with further operational capability improvements being implemented. A strong runway of continuous improvement exists with continued execution. Wales is expected to have a better second half than our first half. The Specialist Businesses will see within the Prestige businesses continued improvement from operational parameters and focus. Our TrackRight and TechRight business will continue with the development and opportunity where capability and capacity are aligned, and we will continue to improve the ACM Parts performance maximizing value to the company. Overall, we continue to target 5,000 repairs a week as an average volume, which we are very confident of being able to do sustainably. Strategic growth in all core businesses will be pursued where opportunity, capability and capacity are aligned via greenfield, brownfield and acquisition where appropriate. We will continue to further develop our high-performing, high capability team and work with our people. And finally, we're maintaining our guidance for FY '26 financial year. We expect a normalized pre-AASB 16 EBITDA to be in the range of $70 million to $75 million. I will now address questions. Please note that you may submit your questions through the webcast facility.
Operator: [Operator Instructions] The first phone question today comes from Chris Savage from Bell Potter.
Chris Savage: Ray, probably one for you, firstly, just volume. You flagged at the AGM that there had been some weakness in September. and they continued into October. Can you talk us through how it transpires for the rest of the year?
Raymond Smith-Roberts: Look, overall, Chris, there's no one answer to volume. We're a diversified group. There are -- we're continuing to see a changing landscape in what events looks like and severity and complexity looks like. But if we look at volume generally, it's improving. It's -- we had a -- there was a couple of months late last year, it was a bit under what we expected. We're certainly seeing overall volumes stronger than where we expected as well. So they've actually going the other way. So the volumes are sustained. We work in different areas in different divisions. If I had a volume concern, we're certainly seeing in our heavy business where overall larger collision works. The volumes themselves are holding up. It's a very -- it's a bit different because it's a higher rate write-off rate than what we've been seeing for a while. The volumes -- we're seeing some areas -- we are heavily footprint in Victoria. Victoria is a struggling state in a few areas. So we tend to feel it more than relative to the overall nation. Volumes in New South Wales and strong. Volumes in Queensland is strong. Volumes in Western Australia is strong. South Australia, Tasmania Canberra and strong in most areas of our network, we have more than enough volume. We have pockets of our network where we don't have enough volume.
Chris Savage: Sure. So can you say what the repairs averaged in the first half per week?
Raymond Smith-Roberts: In terms of volume?
Chris Savage: Yes, you're targeting 5,000 repairs per week. I'm guessing that the number was below that in that one.
Raymond Smith-Roberts: We achieved, I think, 4,772 was the average. And yes, 5,000 a week, again, over at a 52-week average is going to require weeks of 5,500. There are some weeks where based on calendar cycles and public holidays and times of year where it's just not possible. If I just completed a week last week 5,600. So the volumes, as I say, are strong at the moment, but they're trending in the right direction overall. As I say, we see a mix -- there's an average repair price mix changing based on severity and complexity. But volume isn't -- other than in Wales where it is probably seasonally or down where I expect it to normalize, everywhere else, we have pockets of volume where again, the network is overrepresented or there is a range of oversupply. But generally, volumes are fine.
Chris Savage: Okay. And just your thinking on ACM Parts now going forward?
Raymond Smith-Roberts: Look, at the moment, I'm just focusing on what we can control. First, the business is going well. I mean my thoughts around it. The better we get it, the more strategically important to us it is network our size having influence over our own parts supply. We'll always have strong relationships and heavy dependence on the dealer network and the OEM relationships, but there is a range of areas, especially as we move into the need for all of our new climate reporting and the area of recycled in those areas being right. It's becoming stronger. It's far less of a distraction, and we're actually continuing to get benefit out of it. If someone comes along and writes me a big check, we then we'll look at it. And for the time being, I'm focusing in what we can do, and it's working well.
Operator: [Operator Instructions] The next phone question comes from Jared Gelsomino from Morgans.
Jared Gelsomino: Just a quick one. Just interested in -- just on the volumes, how we're looking -- how have volumes started in this calendar year, just noting that you had a really strong third quarter last year and just trying to understand the third quarter or fourth quarter dynamic as we work through this half?
Raymond Smith-Roberts: Volumes at the moment are very good, Jared. Actually, we're on track for February in smart to have our highest average per day volume that we've had all financial year. Volumes in Collision is strong, and volumes in Wales are improving. Volumes in Prestige are also holding quite steady and up around target. So right now -- but there's always a bit of a glitch at Christmas, where we have a range of where we don't operate, but we keep sites open or our ability to take vehicles open. We do a lot of drivable work, so you don't always get drive. We don't get either volume of drivable work over Christmas. But volume is built in January, continue to build in February. We're carrying a very good level of WIP at the moment. So the network is actually in very good shape from a WIP processing point of view. So I'm very happy with where volume at the moment how they're shaping up.
Jared Gelsomino: Perfect. And maybe just a small one on CapEx. I mean, obviously, you stepped up in years putting that investment back into the network. Just interested in the outlook for CapEx and how it sort of balanced between new store openings as well as sort of the refurbs going through the rest of the network.
Domenic Romanelli: Jared, we're still forecasting CapEx of $40 million for the financial year. And we believe with the EBITDA that we're guiding towards that we'll still end up with a positive free cash flow at the end of the financial year if we did $40 million, but we'll keep monitoring it. Ray and I have always got our eye on the CapEx and how it's progressing through the year, how our cash is progressing through the year, and we'll manage it accordingly, but we're comfortable still that $40 million forecast for the financial year.
Raymond Smith-Roberts: Well, overall, Jared, things are happening a little bit slower right here. We've got 2 site expansions in SMART that are underway. We've got 2 site expansions in Collision that are underway. But I'm also doing some site rationalization, which unfortunately does take some capital, but it gets it right. So it is definitely at a slower rate. We're continuing to invest in our existing facilities where they need it. And there's still a little bit to do there. But again, it's all about increasing our capacity and our team's ability. Our continued throughput and our growth is not coming from new sites. It's coming from optimizing what we've got. In some areas, that does need some investment. If we look at it sort of very generally, it's going to be a bit slower, right, in the second half than it was in the first.
Operator: Thank you. At this time, we're showing no further questions. I'll hand the conference back to Ray for any closing remarks.
Raymond Smith-Roberts: I expected a few more than that but thank you. Look, I think overall, I know for some of you, you were hoping for a stronger first half result, but I'm actually very pleased with where we are and where we're going. We are in good shape. All of the hard work that we're continuing to do driving results. I know some of you will also be disappointed in the point I put on the 10% EBITDA and I put the 3 to 4x year there. I think keep that very much in mind. I've put that down as an absolute an annunciation point and I have no doubt, we're going to get there. The speed to it still remains the biggest challenge. If I look at it from a run rate or a bridge, I'm still very focused on the road to it. And I hope that while I'm working toward has been there -- being on a quarter basis, I think it's possible. We can be there at quarter 4 this year did not guarantee but definitely possible. I hope to be there for 2 quarters next year. And then the year after that, it's about doing enough in being able to be enough above it in quarter 3 and quarter 4 gives us very difficult to be there in quarter 1 and 2 given those times. So things are going in the right direction. I don't think that I've changed my view. I haven't. I'm trying to describe it in a slightly different way to give people comfort, but the bridge to it is still very clear. I can see there's another question come up there. Are we going to take that?
Operator: Absolutely. From the webcast, Capital SMART has rolled out 3 new sites with 2 further planned. Is this keeping up with the previously flagged expansion? Are there new site rollouts representing any short-term drag on divisional earnings in SMART?
Raymond Smith-Roberts: Yes. There's two parts to that. I mean, yes, it's -- I mean these aren't new sites we own that both of these are site expansion. So where we operate in Sydney, there's a site there that we're increasing the capacity where we operate in South Australia. We've already got 3 sites in South Australia, but we are pretty much doubling the capacity of one. So yes, they are part of the previous plan in terms of where we're going. And look, there is no doubt we've opened 3 new sites this year, and we had some start-up costs. We -- right now, we're carrying some costs in Sydney. That site will get operational. We were carrying cost in Tasmania, and we were carrying cost in Newcastle. All three of those now have moved into production and producing, and all three of them are actually a positive EBITDA. But during the last half, they actually reduced it, no doubt. And that's going to happen a little bit until we get Sydney up and running until we get -- we're not carrying cost in South Australia yet, but that will commence in about April. So there is going to be some cost drag, but we manage that very carefully.
Operator: Thank you. Confirming that once again, we're showing no further questions.
Raymond Smith-Roberts: All right, guys. Well, I look forward to there's probably some people will be catching up with one-to-one over the next few days. Thank you. As I say, we've got a lot to do. Pleased with where we are and pleased with where we're going. And if you're a shareholder, thank you for your support. If you think of becoming a shareholder, then I think it's a better time.